Operator: Welcome to Community Healthcare Trust's 2022 Fourth Quarter Earnings Release Conference Call. On the call today, the company will discuss its 2022 fourth quarter financial results. It will also discuss progress made in various aspects of its business. Following the remarks, the phone lines will be open for a question-and-answer session. The company's earnings release was distributed last evening and has also been posted on its website, www.chct.reit. The company wants to emphasize that some of the information that may be discussed on this call will be based on information as of today, February 15, 2023, and may contain forward-looking statements that involve risks and uncertainties. Actual results may differ materially from those set forth in such statements.  For a discussion of these risks and uncertainties, you should review the company's disclosures regarding forward-looking statements in its earnings release as well as its risk factors and MD&A in its SEC filings. The company undertakes no obligation to update forward-looking statements, whether as the result of new information, future developments or otherwise, except as may be required by law. During this call, the company will discuss GAAP and non-GAAP financial measures. A reconciliation between the two is available in its earnings release, which is posted on its website. Call participants are advised that this conference call is being recorded for playback purposes. An archive of the call will be made available on the company's Investor Relations website for approximately 30 days and is the property of the company. This call may not be recorded or otherwise reproduced or distributed without the company's prior written permission. Now I would like to turn the call over to Dave Dupuy, Interim CEO of Community Healthcare Trust.
Dave Dupuy : Great. Thank you very much. And good morning. Thank you for joining us today for the 2022 4th quarter conference call. On the call with me today is Leigh Ann Stach, our Chief Accounting Officer; and Tim Meyer, our Executive Vice President of Asset Management. As we disclosed in an 8-K released on Monday, February 13, Tim Wallace is on a medical leave to deal with complications from a peptic ulcer, and the board has asked me to step in as the Interim CEO. I know everyone will join me in wishing Tim a quick recovery. Now to other matters. Our earnings announcement and supplemental data report were released last night and filed with an 8-K, and our annual report on Form 10-K was filed last night. In addition, an updated investor presentation was posted to our website last night as well. We had a busy fourth quarter both from an operations and an acquisitions perspective. At year-end, our occupancy had risen to 91.7%, and we continue to see good leasing activity. Our weighted average remaining lease term was relatively stable at 7.6 years. We continue to have five properties or significant portions of them that are undergoing redevelopment or significant renovations with long-term tenants in place when the renovations or redevelopment is complete. During the fourth quarter, we acquired 13 properties in four transactions with a total of approximately 241,000 square feet for a purchase price of $50.2 million. The properties were 97.8% leased with leases running through 2034 and anticipated annual returns of approximately 9.26% to 10.21%. For the year, we acquired 18 properties with a total of 423,000 square feet for an aggregate purchase price of $97.1 million which were approximately 98.9% leased with leases running through 2037 and anticipated annual returns of 9% to 10.25%.  Subsequent to December 31, we acquired three properties in two separate transactions totaling 99,000 square feet for an aggregate purchase price of approximately $12.5 million. Upon acquisition, the properties were 100% leased with expirations through 2029. The company has four properties under definitive purchase agreements for an aggregate expected purchase price of $20.1 million and expected returns of approximately 9.2% to 9.5%. The company is currently performing due diligence and expects to close these properties in the next few months.  We also have signed definitive purchase and sale agreements for six properties to be acquired after completion and occupancy for an aggregate expected investment of $141 million. The inspected return on these investments should range up to 10.25%. We expect to close on these properties throughout 2023 and 2024.  We continue to have many properties under review and have term sheets out on several properties and anticipated returns of 9% to 10%. On November 2, 2022, the company filed an automatic shelf registration statement on Form S-3 with the SEC. Simultaneously, the company entered into a sales agency agreement with various banks for the sale of up to 500 million of common stock, including the issuance of ATM shares. Also, we declared our dividend for the fourth quarter and raised it to $0.4475 per common share. This equates to an annualized dividend of $1.79 per share, and we continue to be proud to say we have raised our dividend every quarter since our IPO. Before jumping into the financials, I wanted to highlight our recent refinancing, SOFR transition and swap activity. Given the tightening bank market, we thought it prudent to move forward our refinancing plans, and our banks were very supportive. Although we were seeking $125 million seven-year three-month term loan, the transaction was oversubscribed so we decided to increase to $150 million. The three-month stub period was added to make the maturity towers consistent with our existing term loans, which occur every two years beginning in March of 2026. The proceeds were used to refinance the $50 million term loan due 2024, pay down the revolver and fund acquisitions. Simultaneous with the refinancing, we transitioned our borrowings from LIBOR to SOFR. Shortly thereafter, we swapped floating rate exposure to fixed through SOFR-based swaps. And finally, in January, we transitioned all our remaining swaps from LIBOR to SOFR. After this refinancing, we anticipate having enough availability on our credit facilities to fund our acquisitions, and we expect to continue to opportunistically utilize the ATM to strategically access the equity markets. Now on to the numbers. I am pleased to report that total revenue for 2022 was $97.7 million compared to $90.6 million for 2021, representing 7.8% growth over the prior year. Meanwhile, total revenue for the fourth quarter of 2022 was approximately $25.3 million versus $23.2 million for the same period in 2021, representing 9% growth over the fourth quarter of 2021, while quarter-over-quarter revenue grew 2.2%. And on a pro forma basis, if all the 2022 fourth quarter acquisitions had occurred on the first day of the fourth quarter, total revenue would have increased by an additional $1,116 million to a pro forma total of $26.5 million in the fourth quarter. From an expense perspective, property operating expenses increased year-over-year from $15.2 million in 2021 to $16.6 million in 2022 or 9.8%. During the fourth quarter, property operating expenses increased from $3.5 million in 2021 to $4.2 million or 17.6% for the same period in 2022. Sequentially, property operating expense decreased from $4.3 million in the third quarter to $4.2 million in the fourth quarter or 4% due to normal fluctuations in property operating expenses that occur quarter-over-quarter. And for the year, G&A increased from $12.1 million in 2021 to $14.8 million in 2022 or 22.5%. And the fourth quarter G&A expense -- G&A increased from $3.2 million in 2021 to $4.1 million in 2022 or 31.5% and increased 10.3% sequentially.  For the year, cash G&A increased from approximately $4.9 million in 2021 to $5.4 million in 2022 or 9.6%. While in the fourth quarter, cash G&A increased from approximately $1.2 million in '21 to $1.5 million in '22 or 29.8% while increasing 15.8% quarter-over-quarter.  Increases in G&A were driven by compensation expenses related to both new and existing employees, increases in professional fees expense and increases in amortization of deferred compensation from the issue of restricted stock, including a compressed amortization schedule based on retirement eligibility dates. Please refer to Page 8 in the supplemental information report as included with our 8-K filing for more details on cash versus noncash G&A expenses. Interest expense increased year-over-year from $10.5 million in '21 to $11.9 million in '22 or 12.6%. Quarter-over-quarter interest expense increased from $3 million to $3.5 million or 14.4%. The increase in interest expense was driven by an increase in interest rates, borrowings under our credit facility to fund acquisitions and the addition of the new $150 million term loan which closed December 14, 2022. For the year, our net debt to total capitalization remained conservative at 34.8%. Our net income decreased from $22.5 million in '21 to $22 million in '22 or 2.1%. For the quarter, net income decreased from $6.1 million in '21 to $5.2 million in '22 or 14.3%, and sequentially, net income decreased from $5.7 million to $5.2 million or 7.7%. For the year, funds from operations, FFO, increased from $52.9 million or $2.20 per diluted share in 2021 to $54.6 million or $2.24 per diluted share or $0.04, representing per share FFO growth of 1.8% for the fourth -- 1.8%. For the fourth quarter, FFO decreased from $13.8 million or $0.57 per diluted share in 2021 to $13.6 million or $0.56 per diluted share in 2022. On an annual basis, adjusted funds from operations, which adjusts for straight-line rent and stock-based compensation, grew from $56.5 million or $2.35 per diluted share to $60.6 million or $2.49 per diluted share or $0.14, representing per share AFFO growth of 6%.  On a quarterly basis, AFFO increased from $14.9 million or $0.61 per diluted share in the fourth quarter of '21 to $15.4 million or $0.63 per diluted share in the fourth quarter of 2022. And from a pro forma perspective, if all the fourth quarter acquisitions occurred on the first day of the fourth quarter, AFFO would have increased by approximately $576,000 to a pro forma total of $16 million, increasing fourth quarter AFFO to $0.65 per share. Kate, I believe we're ready to start the question-and-answer session.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question is from Rob Stevenson of Janney. Please go ahead.
Rob Stevenson : Hi, good morning, guys. Dave, any in the '23 or '24 lease expirations and known move-out or likely downsize at this point? Or you expect them all to renew in place?
Dave Dupuy : Yeah. Rob, thanks for the question. We've got relatively few leases that are expiring in '23. So -- and we think we know pretty well what those -- whether those are going to be re-leased. Tim, I don't know if you've got any color on that, but feel free to add.
Tim Meyer : I mean, we're fairly confident with our lease pipeline that we have today both with renewals and new leases. With the portfolio, there is a natural churn rate that you see with leases that do expire, tenants that do move out. But we've been -- we've seen strength with our retention rate particularly through 2022 and we see that continuing in 2023. So even if tenants do move out, we're pretty confident in what we can do with leasing that to new tenants.
Dave Dupuy : And Rob, that's showing up in our occupancy, what we've seen in terms of momentum and growing occupancy over the last few quarters.
Rob Stevenson : Okay. And I guess on that standpoint, I mean, what is the outlook? You guys are just a shade under 92% leased as of year-end. In terms of incremental leasing within the portfolio, what's the outlook for that in terms of what you have visibility on today?
Dave Dupuy : Yeah. I think historically what we've messaged, and I don't think that would change based -- even on what we're seeing, is we think it's tough for this portfolio to be leased any more than kind of 93%. There's always going to be a natural piece of vacancy in the portfolio. So I think we've got an ability to continue to increase our occupancy and continue to build that. But I think anything beyond 93%, we certainly wouldn't expect.  And so continue to see good leasing activity. And what we've always said is when you see good lease activity, you see good leasing. So I think we're confident that we will continue to post solid leasing results going forward.
Rob Stevenson : Okay. And then the last one for me. Your average property acquisition cost in '22 was a little under $5 million, and you're basically right there again with the stuff that you either have closed or have under contract for '23. Other than the six properties for the $141 million in the pipeline, are there other deals that you guys are starting to look at these days? Are they still in that sort of $5 million-ish on average range? Or are some of these larger deals moving up the scale pipeline?
Dave Dupuy : I think we see a mix. Some of those -- I think the average of $5 million, $5 million to $10 million is probably what we consistently see. But occasionally, if it's the right opportunity, we see $2.5 million or $3 million acquisitions if we feel like it's a good opportunity for us, and in particular, if there's repeat business.  But look, we've seen a mix. We're continuing to look at a lot of different opportunities out there. But I think that $5 million average, maybe trending a little bit higher, just based on the fact that we're going to start closing on some of those larger inpatient rehab facilities over the upcoming year, I think that might push that average up just a little bit.
Rob Stevenson : Okay. Thanks, guys. Appreciate the time. 
Dave Dupuy : Thanks, Rob. 
Operator: The next question is from Alexander Goldfarb of Piper Sandler. Please go ahead. 
Alexander Goldfarb : Hey. Good morning, gentlemen. Obviously, please send best wishes for speedy recovery to Tim. Definitely need him back on the call and in the saddle. So two questions for you, Dave. The first is, obviously, everyone across all real estate sector is talking about transaction market, a big gap between buyers and sellers, frozen. Obviously, you guys made a lot of progress in the fourth quarter. It looks like you restocked the pipeline as well.  But big picture, is the frozen transaction market, the gap between buyers and sellers that we hear about in other sectors, is that not really as applicable in your -- what you're targeting because of the nature of who the sellers are, often medical practices or people that you have presales with? Or should we think that even though you are restocking the pipeline, you still are finding the same issues that have befuddled other sectors in real estate as far as the gap between buyers and sellers?
Dave Dupuy : Yeah. Thanks for the question, Alex. I think it's actually -- it's hard. We're still looking at opportunities real-time, but we're actually very encouraged to see a significant amount of activity continuing on the acquisition front. And I would say, you put it well. Our type of client tends to be smaller physician-based MOBs, physician practices, et cetera, and they're less sensitive to that type of dynamic in the marketplace.  And since we're looking at opportunities in that 9% to 10% cap rate, we feel like the increase in rates is actually kind of a tailwind to our business because, all of a sudden, you're not seeing these crazy transactions for those types of assets coming out. So anyway, we feel good about it and we're seeing good activity.
Alexander Goldfarb : Okay. Second question is your comments -- and forgive me, but it was -- the way your comments on funding transactions came across, it seemed like you're biased towards line of credit and secondary is ATM. But in the quarter, I think you issued at an average of $35. Obviously, your stock is up from there. So sort of curious, was it just random that you said line of credit first and then ATM? Or is there something about where you see the balance sheet that you prefer to use line of credit over ATM and especially given that your stock is up from where you issued in the quarter?
Dave Dupuy : Listen, we will continue to, as we said, access the ATM market. I think you're reading too much into my comments. I think it was basically because I was talking about the fact that we just refinanced. And as you well know, when you do refinancing, it tends to be chunky. And we were opportunistic. Our banks were very supportive. And as a result, we upsized from the $125 million term loan to $150 million term loan.  And so yeah, I think you're reading into that. We will continue as we have in the past. It's very important to us to be a low-levered business. I mean, that's always been -- that's part of the DNA. It's foundational to the company. And so I think you should expect us to be in the ATM over time and not just rely on the line of credit.
Alexander Goldfarb : And that's why -- and Dave, that's why I asked because I know what your strategy is in general, and that's why the comments, I wasn't sure maybe I overread or not. But it sounds like I did, so I appreciate the clarification. 
Dave Dupuy : Sure. Thanks, Alex.
Alexander Goldfarb: Thank you. 
Operator: The next question is from Michael Lewis of Truist. Please go ahead/
Michael Lewis : Thank you. So first, I'd like to echo that we certainly wish Tim a full and speedy recovery as well. And Dave, for you, you could correct me if I'm wrong. I think last quarter, you guys said you had like $72 million of acquisitions you expected to close by the end of the year. I don't know -- if that's the case, what caused some of those to slip into this year? And I'm wondering if there were any under contract that got scuttled completely or if this is simply a timing issue.
Dave Dupuy : Michael, thanks again for your words about Tim. As far as the acquisitions are concerned, we were -- we really were highly motivated. We wanted to get those closed in the fourth quarter. But I think we just ran into some issues. Once you get past Thanksgiving, it's kind of a sprint to get things closed, and there were just a handful that ended up not getting closed. But as you point out, we ended up acquiring a couple of those so far this year that we talked about subsequent to the year-end.  And then we have four additional properties, as we mentioned, at $20.1 million that we're looking to close here over the next few months. So nothing was scuttled. And so what we're doing is just continuing to work on getting those properties closed through due diligence and done. And I think we just ran out of time a little bit. Some of the third-party diligence folks started shutting things down a couple of weeks before Christmas, and that resulted in us not getting where we wanted to get to.
Michael Lewis : Okay. Great. And then I've asked you about this before. In each of the past several quarters, your presentation slides have included these dialysis center developments for a potential $60 million. I don't think you've closed on any since that program was announced. Are there projects underway? Or what's happening with that pipeline? I don't think any anticipated timing was provided like you've done for some of your other identified acquisition targets.
Dave Dupuy : Yeah. And candidly, Michael, we're a little bit disappointed that, that has been slow. And the reason it's been slow is since that operator received some private equity funding, they've been very focused on acquisitions, and a lot of our prior work with them, and frankly our term sheets, were related to development.  And so I think they have been focused more on the acquisition front. We do have a term sheet on a development project and we're negotiating that with them now, but it's been a slower process than we would have hoped and expected. But listen, I understand -- and these acquisitions that I referenced that this operator is making don't have real estate as part of the acquisition. It's all leased real estate.  And so it's been a little bit slower than what we would have hoped. We are hopeful and expecting to start seeing some of the fruits of their development activity and really hope to see that. But we've been intentional in not putting a time line on it because we just don't have a good sense for how quickly those projects are going to come online. And candidly, there could be an acquisition that does have real estate as part of it that we would hope to be a part of as well. But at this point, we don't have a ton of visibility on that term sheet.
Michael Lewis : Okay. Got it. And then my last question, also dialysis related. I saw Fresenius is considering selling its dialysis business. So I don't know if you've been following that, but I was wondering if you thought there were any read-throughs to the future of the industry or any impact or opportunity or anything in terms of your company.
Dave Dupuy : I think dialysis is going to undergo a transition and transformation over time. You're going to see a lot more home dialysis. One of the reasons we really enjoy the relationship with this partner and think they're on the right track is they've got a business model that addresses both home dialysis as well as clinic dialysis treatment, which I think is going to be in -- we're going to have for years and years to come.  Home dialysis really works well if you have a caregiver or somebody and the other needed infrastructure in the home to be able to treat the patient. Unfortunately, this patient base doesn't have a lot of that. And so there's a portion of the patient base that I think could be effectively treated at home, and we're very mindful of that. But there's always going to be, I think, a patient base that's going to need to come into the clinics.  And so will it grow from a clinic perspective the way it has grown historically? Probably not. But as long as you're partnering in the right markets with the right operators, I'm still quite confident that dialysis is here, and we're just going to be very focused on making sure we pick very carefully in the space going forward.
Michael Lewis : Hey, great. Thank you. 
Dave Dupuy : Thanks, Michael.
Operator: The next question is from Dave Rodgers of Baird. Please go ahead.
Dave Rodgers : Yeah, good morning, Dave. Tim, I wanted to echo the same comment. Obviously, hoping for study recovery for him. I guess two questions for you, Dave. As you look at the acquisitions, I know there was a little bit of delay you just kind of answered in that question. But I guess, looking forward to the next set of acquisitions, are you seeing more construction delays, difficulties getting materials that could kind of further prolong any of these additional acquisitions that you've already tied up in terms of timing? Or do you feel like that timing is pretty secure for you guys?
Dave Dupuy : Thanks for the question, Dave. I think Tim has been asked this question before. It's -- the supply chain delays have been a little bit frustrating for us and certainly frustrating for our operator who's trying to get these projects opened and going.  So listen, we still feel like that the six that we have under purchase and sale agreement will close in '23 and '24. In '23, we're looking at least two, hopefully three; and then in '24, the remaining 3 to be up and running. But honestly, we are still seeing some delays from a supply chain perspective. And not only that, we're seeing delays just from getting the due diligence done and getting all the -- checking all the boxes with the municipalities to get these projects underway. So it's been a little bit frustrating for us and for our operator, but we still feel very good about those projects. And we'll continue to update folks as we get better information precisely on when those projects will close. But yes, we're very busy in that regard. We're very focused on getting them through construction and finishing them. But it has -- we have been a little bit disappointed in the slowdown that we've seen.  And so anyway, I wish I could be more precise in terms of when those facilities will be opening, but we'll certainly let you know as we get better information.
Dave Rodgers : Great. Appreciate that. And then the last question, maybe a little more nuanced. Obviously, Tim is instrumental in kind of sourcing your acquisitions and the relationships that he has and something obviously investors are going to focus on as well. So curious if you can give us a little bit more detail on just kind of the breadth of the relationships across the company that you guys have with the partners and in creating new partners just to assuage any potential fears obviously of Tim not being there for some period of time.
Dave Dupuy : Yeah. No, I appreciate that. I understand that. What I would say is over the last four years, Tim has very intentionally added to the team. And so we have a VP of Investments who isn't -- doesn't join these calls but is very engaged in our business development activities. It's really him and Tim Meyer and myself that are -- have these relationships, and they are spread across the organization. But we're very focused and continue to see a lot of activity from an acquisition standpoint.  And listen, as a company that is a growth-oriented company as we are, where AFFO growth and FFO growth are critical, we've just been very focused on making sure that those relationships that you highlight are institutionalized. And to Tim's credit, he's done a good job of getting us all involved in that process. And so while there's absolutely a gap, and we definitely want Tim to come back as soon as he can, I feel like we are in a situation where we continue to be engaged with the folks that we've historically been engaged with, that have been good at providing opportunities for acquisitions for us. And I really -- hopefully, everyone sees, we continue to see -- be very busy from an acquisition standpoint and from a pipeline building standpoint in the business. And so that, I think, will continue. And I think it's going to be up to us to fill that void, but I think we've got the right team in place that can do that.
Dave Rodgers : Okay, thank you. 
Dave Dupuy : Thank you, Dave. 
Operator: [Operator Instructions] The next question comes from Steve Sakwa of Evercore ISI. Please go ahead.
Steve Sakwa : Yeah. Thanks, good morning. Dave, yeah, please send our what best wishes to Tim and hope he's back.
Dave Dupuy : Thanks, Steve.
Steve Sakwa : So a lot of my questions have been asked. I just wanted to maybe focus back on the leasing, and you talked about the 93%. I'm just curious, for the leases that are kind of turning over in '23 and maybe '24, what sort of pricing power you guys see on the renewals or on the new leasing front. I'm just trying to get a better handle on contractual rent bumps and what happens as leases turn or rents kind of going up, down, flat on, say, the '23 and potential '24 expirations.
Dave Dupuy : Steve, thanks for the question. I appreciate it and understand that. What we're seeing is it's very market specific in terms of whether those rates are going up or coming down slightly. But it's -- I would also say that, in general, it's about consistent. We aren't seeing in our markets a significant difference between where our lease rates are and where the market lease rates are in general across all of our markets. So we're seeing some where we're getting better rates. We're seeing some where we're getting lower rates. But it's just very market specific. And frankly, some of the dynamics that -- and building specific, too. And so that's why we're investing in our buildings to try to get those buildings ready for new tenants.  And so it's a -- I would say it's, in general, I don't think we're seeing any significant variance one way or the other. I don't think we've got incredible pricing power in our buildings, but I don't think we're seeing a significant -- any significant roll downs. It's basically market is where we're at.
Steve Sakwa : So you'd say you're kind of flattish on rollover on an annual basis.
Dave Dupuy : Correct, yeah.
Steve Sakwa : Okay. And then just remind me, within the leases, do you -- I assume you have contractual rent steps in those leases. Is that average kind of 1%-2% a year within the leases on average?
Dave Dupuy : I would say they're on average 1.5% to 2%. I mean, we have, as you might expect because we're buying existing buildings with existing leases, so we see everything, everything from CPI-based to fixed to fixed with a cap. But I would say, in general, you could assume that the portfolio is 1.5% to 2% in terms of rent bumps per year.
Steve Sakwa : Okay. And just to come back to the financing for a minute. I realize you're trying to keep low leverage. And so just trying to understand, marginal borrowing cost today for you on the line, it sounds like it's SOFR plus some spread, and the bank debt market might be something similar. So I'm guessing that your all-in borrowing cost is at least -- on the debt side, at least 6% today. Is that fair and maybe moving a little bit higher?
Dave Dupuy : I mean, look, we're actually very excited of where we were able to fix the debt that we just -- that term loan cost is right at 5.1%. So we're very excited at that outcome. And I would say -- I would -- I think we're about 6% on incremental borrowings under the revolver. I think that's probably right. I would have to go back and look at the spread, but I think that's right.
Steve Sakwa : Yeah. I guess I'm just going back to the -- there was a previous question on kind of the mix of debt and equity. And if your stock is trading around a six cap and marginal borrowing costs are six, the earnings accretion is about the same whether you use debt or equity. So I'm just wondering, would you lean even heavier into equity just to keep the balance sheet even in more pristine shape versus using leverage when the day one borrowing costs are about the same. I realize, over time, there might be dividend growth and higher shareholder return. But at least from an earnings accretion standpoint, it seems like it's about a push between equity and debt.
Dave Dupuy : Yeah. No, I think that's a fair point. And I think it's always been a priority for us to have that mix. Our debt -- our net debt to book capital has always been in that 30% to 40% range. And I think what I would tell you is, you tend to add debt incrementally. We just did that. I think it's safe to say we're going to be looking to access the ATM over time to continue to delever. And yeah, I think from our perspective, we believe that, that mix will continue going forward.
Steve Sakwa : Okay. And then just last question. Anything regionally -- I mean, you guys are spread out in a lot of different MSAs, larger, smaller across the country. Is there anything that you're seeing regionally or in an MSA that looks good or bad or is better or worse than maybe you would have expected? Just anything to call out from a regional, either operational leasing perspective or acquisition opportunity perspective?
Dave Dupuy : No. I don't think we're seeing anything unusual. We continue to see a lot of growth and new building activity in the Southeast, not surprisingly, just given the fact that there's been so much population migration into the Southeast. So we continue to see that as a tailwind in general, especially for our development opportunities. But as far as our acquisitions, we're seeing -- look, we're seeing consistency across the country. And we'll spend time in markets that are attractive for us. And so we're not really seeing anything negative. Historically, as a company, we haven't done a lot of acquisitions in the New York and California markets, but you shouldn't read into that, that we wouldn't opportunistically look in those markets if we saw some attractive real estate. So every deal is unique. And this is a big country with a lot of great markets, and so big picture we're not seeing anything that would dissuade us from one market to another.
Steve Sakwa : Great. That's it for me. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to David Dupuy for closing remarks.
Dave Dupuy : Well, great. Thanks, Kate, and thanks, everybody, for joining us today. We really appreciate everyone's positive message to Tim. And look forward to continuing to grow, and appreciate everybody's support. Thank you so much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.